Abdulkarim Abdulrazak: [Audio Gap] this restructure, we believe will be instrumental in Spenda's success. And without this restructure, just we don't think that the plan we have would have come to fruition. So it was very important that this happened and it has, and it's all showing now the hard work we've been putting in recently. And as you'll see shortly from Corrie and throughout this presentation, massive changes were made on an operational level as well. So you'll notice that Corrie has spearheaded this huge shift in Spenda's operations compared to how it was before, all within a few month period and all without negatively affecting the business. So I just wanted to kind of give a shout out there because I don't know if -- I talked to a lot of shareholders, and I myself as a shareholder for a long time prior to this. So I'm in the same boat as most of you or all of you really. And I just thought we really need to recognize the amount of work Corrie has put in and also hasn't taken additional salary compared to her previous as well, worth noting. So you'll notice operational changes have happened already on a huge scale. Board changes have happened on a huge scale recently as well. So everyone is now aligned. And now the business is almost complete to fully tackle the plans that we have. But as Corrie said, we weren't just waiting for this to happen. I've already got everything in order sales and marketing-wise. But I'll let Corrie continue, and we'll get into that a little later. Thanks, Corrie.
Corrie Hassan: Thanks, Karim. Sorry, for some reason, there's a big delay, which I'll try to change the slide, not sure why.
Abdulkarim Abdulrazak: Corrie, while you're doing that, I might just add a line in quickly. So just on the Board level as well, as Corrie mentioned, the Board is a lot more involved than before. So that may not be the norm for a lot of investors when they look at a Board, but we believe this is what was required. So myself, and as you can see here, James, which Corrie will introduce in a moment, but we will be pretty closely involved, each one of us adding value in our own way. And between us, we form this perfect combination of skills. So anyway, back to you, Corrie.
Corrie Hassan: Thank you. Yes, Spenda has also welcomed James Matthews, you would have seen this morning, to the Board. So James is a tech, marketing and growth-focused business leader. He's got a huge history of success in scaling businesses. So we're actually really delighted that James has joined the Spenda team. His skill set is perfect for where we are right now, and I'm looking forward to working closely with him, particularly around bringing a real level of innovation around the marketing area. So in the last quarterly, I presented the new business strategy and how we were pivoting. I'll just do a quick recap on some of those changes. So there are 6 key focus areas. So simplifying the business. It was a fairly complex business, very difficult to understand or sort of get your arms around. So it needed simplification. We needed to really focus on the products that we commercialize quickly and only and have that narrow focus, which we've done. We needed a strong sales and marketing strategy, and we were resizing the business with the correct cost base and correct structure, stabilizing the product, ready to scale from February and then managing all of those changes without impacting revenue. That was the goal. So taking the staff from 90 at one point to 50, from 13 products to 3, ensuring that the business moved quickly to an execution-focused environment was really critical. So making sure everyone was aligned on the product vision so that we could execute on those deliveries quickly, laser focusing on that recurring revenue, having the right leadership team, so highly motivated, believing in the future and moving forward, which we have and then implementing a sensible cost base to support the business. I introduced our 3-pillar product strategy, so Spenda Retail. That product needed commercializing and scaling with existing capability. So we removed the road map, which was quite extensive and focused on stabilizing the core product offering and working with our cornerstone customer, Carpet Court, to establish a rollout plan across stores. We also needed to identify the next 2 or 3 cohorts because this product is not just about Carpet. It's actually been built so that it will suit a number of cohorts, and that's a big part of what Karim has been doing in the background. So I'm working really closely at the moment with the Carpet Court team, actually overseeing that piece myself. So we've got quite a tight process in terms of which stores we're targeting and how we roll those out. So that I can see it now starting to come to life, which is exciting, and you'll start to see those retail stores increasing month-on-month. Spenda Pay, that was rework. So it's really a 3-play strategy, I suppose, focused on the SME market. So it's a different type of customer. We're focusing in on their small- to medium-sized businesses, which really wasn't a specific focus before. So the 3 play is, one, a product where any business can use their credit card to pay supplies to endpoints. So that broadens our customer scope means that we can go for any customer in any industry. The app is also where our new lending product will be utilized. And again, that broadens the customer scope to any customer. And then thirdly (sic) [ secondly ], rolling in a SWIFT statement for Capricorn. So by rolling that functionality in, it means that those Capricorn members actually have a significant uplift in their feature set. And so they'll pay the same SaaS fee, but have additional features. So I believe that, that's the way to really scale that SWIFT statement customer base. And then third product, Spenda Ledger. So this product really has just been focused on APG as a customer since the Limepay acquisition. And that project now has successfully been completed and has moved into a Business-as-Usual scenario. So we needed to just enhance some of the dashboarding and reporting and get that ready to relaunch so that we can then start focusing on acquiring new marketplace customers in that product. We already have a number of marketplace customers there, not just Spenda Ledger. So it's really just making sure we've got the sales and marketing strategy to start to scale that product separately as well. So how did we do for the quarter? So for our Payments Volume, we saw continued growth. So it came in at $227 million compared to $204 million for the first quarter. We expect this trend to continue across the next financial year month-on-month. As we acquire new customers in all of our products, there's going to be a key element of Payments across all products as well. So any new product growth will also scale into our Payments increase volume. So the goal was to increase cash receipts with reoccurring revenue and not any sort of one-off lumpy receipts. So this ensures consistency and strength in the business, and it doesn't derail the business with large projects that do not really fit, I guess, with the Spenda road map. So quarter 2 was a healthy increase of 33% from quarter 1.
Abdulkarim Abdulrazak: Sorry, Corrie, if I could jump in there for a second. It's also worth noting, guys, that the positive quarter numbers-wise and volume-wise happened at the same time as the huge cost-cutting exercise or exercises that Corrie underwent. So it's worth just keeping that at the back of your mind.
Corrie Hassan: Thanks, Karim. The slides keep taking their time to click over, so sorry. Okay. So if I just do a quick dip into the targets that I set, we are ahead, which is really pleasing to see. These are just a flavor of the December targets we set. So revenue, $2.4 billion, we came in at $2.8 billion. Total payment flow was expected of $208 million, $227 million. SME funding, which is our new lending product. Because we're in the pilot phase, we knew kind of where that was going to sit because we haven't yet opened that up, which we are about to do. So we had anticipated growth of sort of 9%, and we've come in at 33%. So I was really happy with those results. And then moving through to quarterly operational update to give you a flavor of what we've been doing operationally. I'm just waiting for my slide to change. Sorry, everyone. Here we go. So keeping in mind, we didn't really have any sales team in place at all before. And really, we were focused -- it's just really our previous CEO who covered the sales side of things. We were really starting from scratch on that side. So we are moving very fast in that area at the moment. One of the key areas was obviously tight cost management. There was a large cost base in the business initially. So that was a very key focus. The first quarter, we saved $171,000 a month. And the last quarter, that increased to $320,000, and I want to continue to increase that quarter-on-quarter. We've revisited all the costs in the business. So obviously, staff was an immediate action that needed an overhaul, but everything else has been looked at, office rent, suppliers, subscriptions, audit fees, everything. So I'm used to running, I guess, a business keeping a very tight cost base, and that is something that I'm going to continue to do and will be a focus for me. We reduced our average burn by about 21%. So we also managed to continue to grow our revenue streams. And we just really want that, I guess, differential to shrink as quickly as possible. Taking a dive into products. We simplified the narrative for each product so articulating what we do and what each product does is actually easy. That sounds a very basic thing, but it was quite tricky, to be honest, before. When you've got 13 products, it's really hard to clearly articulate what you do and where you're heading. So we did that. We are really on track for this product. We've stabilized the tech, focused on strengthening the existing capability. And as I mentioned, I've been working really closely on the Carpet Court rollout, and I'm already seeing traction starting to come through there, which is great. And Spenda Ledger, again, we're on track to relaunch this product shortly. Again, it was focused just on APG, so we needed to do a little bit of work there, which we've done. So our revenue lines with APG will continue to grow. So yes, they are a cornerstone customer in that product. However, there will be many customers coming through here now. So APG, as they grow, we grow because our revenue is based on a clip of the transactions going through. We'll also increase lending income because APG as a lender, we will get a clip of the lending transactions as they go through. And we'll also be building extra features for APG as well. So there will be an ongoing monthly commitment in terms of monthly revenue. So a significant amount of time has been focused on the sales and marketing structure. So ensuring that we can get going as quickly as possible. And this is really Karim's area. Actually, I might pass to you, Karim, is that okay, just to give a little bit of an update as to what you've been working on?
Abdulkarim Abdulrazak: Yes, sure. Thanks for that, Corrie. Yes. So just on the points that you can see there on the slide, I'll use them as a bit of a guide to kind of touch on each thing. So noting what Corrie mentioned before, we didn't have an existing sales team at Spenda. And that, I believe, was the case for quite a while. There was no designated sales team or person. So for me, that presents a pretty exciting opportunity if you want to look at it that way, where we have an existing base of, say, the $11 million revenue. As a shareholder, you could look at that and say, well, that was achieved largely with no sales team. I know what a lot of you might be thinking, and I get it, but you have to look at it as -- it's a positive thing because right now, with the sales team and with clarity on what we're actually selling, what could we achieve? Well, right now, if a salesperson come on board and had a clear idea of each of the 3 products that they're selling as opposed to before, even if we had a salesperson, what on earth are we actually selling? And how do you articulate that when you've got over a dozen products that some of them weren't exactly ready to be sold in reality. So as Corrie mentioned before, this is why you'll see things like Spenda Pay being relaunched again next month. A lot of you are wondering, wasn't that already there? Or is it just rebranded, but what have you actually changed? Well, that's a thing. It wasn't entirely fit to scale rapidly and to everyone, every Tom, Dick and Harry. So we want the products to be scalable across many different verticals, different markets and not custom built for just anyone. And it goes back to the project work that Corrie mentioned before, which take time and don't allow us to just scale to thousands of customers. It really just gets you the 1 or 2 big invoices for that quarter. So we'll still be doing those things, too, if it's available and easy to do, but it's not going to derail us from the plan. We don't want to do anything that's going to derail us. We need to stay on track, and this is the problem that we've had in the past, right? So sales function established. That's me at the moment now, which I'm doing. We are looking for a salesperson to come on board to assist us in -- assist me in particular, in selling. Now targeted customer management -- engagement, sorry. So we're essentially looking for businesses that we can sign up without having to do a 1-year build for or customization. We're looking for businesses that operate, for instance, a very similar vertical to Carpet Court that I've been looking into is window furnishings. They operate very similar, but it's not exactly the same, and they would be able to use our product pretty much out of the box. So that's been a vertical that I've been looking into the last few weeks. And we've done a few demos and people have been pretty positive about those demos where 90-plus percent of Spenda Retail, what Carpet Court is using essentially, would be fit for purpose for them. So that's pretty cool. And I believe that there are other verticals that we could target that way. So -- and that's already happening. It's not that it's going to happen. We've done the demos. People are positive and things are moving. So Spenda is in a position now where it's actually at the best position, I think. As I've been a shareholder for the last 6 years, I don't think it's been in a better position in that regard in terms of it's ready to kind of scale. Whereas before, no matter how much we might have heard that it was ready, it really wasn't. And that's what Corrie has been working so hard on, and we need to acknowledge. And I was one of those people. I jumped on board with a different mindset. And when I saw what Corrie was doing, I realized, okay, wait a minute, there's stuff we need to change, yes, but Corrie is doing what's needed and really what was needed a long time ago. So the sales narrative is now simplified, and that is largely due to Corrie's work, simplifying each of the 3 products and saying, okay, these are the ones that are ready. These are the ones they're strong technology. They have pretty cool features that a lot of businesses would love. And it makes it easier for a salesperson than like me to come on board and sell this product. So 50% of the work was already done from Corrie on that end. And now the rest is really crafting up the narrative. And this is where James Matthews, our new Board member that we've announced today, really comes and adds value here. So James has basically the entire life as a marketing expert, and that's exactly what we need right now. But obviously, having that person in-house, adding that value, which you normally have to pay lots of money for is very beneficial. I mean, he's got other strengths as well, but this is kind of what we need right now from him, so today after this webinar, and developing a story and a narrative for each product for us to put out there to make it easier to scale. So just on growth plans. So Spenda Pay launching next month, for example, don't misunderstand and think that it's the same product. It's not a brand new one, but it's not the same exactly as well. It is -- features have been added to enhance it to make it -- we want to make it that the 135 customers that are utilizing our Spenda Pay, you could say, the previous Spenda Pay version, we want it to be that we'd be able to accumulate those types of customers in a much shorter period of time. We don't want it to be that it takes so long to recruit people because the product is great to have, but not a need. We want the product to be a need and people to look at it and think, we don't need convincing, we want to use this product. And that's exactly what's going to hopefully happen in February for Spenda Pay. Corrie, did you want to take over here, Spenda Pay?
Corrie Hassan: Yes. So as Karim mentioned, we've got a few different stages as we roll through this product, but converting existing SWIFT statement users onto their Spenda Pay is the very first step and getting them using the system. They'll be using AP to actually pay their suppliers and earn points, which is a big thing for them as well as being able to have the SWIFT statement capability. So I believe that, that really is going to bolster us forward quite quickly with the SME membership of Capricorn. And then as I mentioned, our lending piece is in here as well. So those customers that want to utilize lending will be using Spenda Pay. So those 2 combined will be the early uptakers of the product. And then we're going to scale it out more generally from there. So the sales and marketing play looks a little different for that product. It's probably more of a digital acquisition, but also a broker play, laying the foundations of those marketing materials -- those broker marketing materials as well for this last quarter has been key and then making sure that we're ready to scale quickly in February or probably the end of February, beginning of March as soon as the product is ready to go. So that's on track. It's -- yes, it's -- this was for me, I was worried that this may delay because there was quite a bit of work to do here, but we're on track. The team have really focused in on it, and they're smashing through the features, and it's coming together really nicely. So we're on target. And yes, we'll be ready to scale. So path to success, this is what I presented in quarter 1. I guess, just looking at 4 quarters, what those 4 quarters look like, and we're firmly on track. The next quarter is really heavily focused on sales and marketing because we'll have -- we fixed the product. We've got the right people in the right roles. Everything is stable. We're honing in on the 3 products that we need to commercialize. Everyone is accountable for their own area. They know what they're doing. Everyone is pulling in the same direction. Spenda Pay builds will be out at the end of Feb as planned. And yes, we're good to go. So I think the next couple of quarters really are about being consistent and just moving forward, consistently focusing on sales and marketing, onboarding new customers and scaling as quickly as we can. And that's where the whole business will be leaning in to do that. This is how we really build that shareholder value through the consistent execution of this strategy, which is delivering growth in repeatable and scalable income. So I'll just touch on this. Okay. So having, I guess, a credible AI plan has been a focus of our CTO and CPO. We already have some AI capability in our current product suite, but I really just wanted to make sure we've got a clear strategy on where we're heading so that we can stay ahead of the curve and keep innovating in the space. We've started to plan the rollout of a dual interface AI architecture. And we need to be able to, I guess, innovate in the space, but it needs to be in a very sensible and structured way because we are quite heavily regulated in the payment space. So we do need to be careful. So you can see our positioning statement there is, we do not let AI move money. We let AI help us decide how money should move. And that gives, I guess, sets a tone or gives you a flavor of how we see Spenda's evolution here. So you'll start to see a lot of this come to life throughout our products as the year rolls out. And that actually brings me to the end of the presentation.
Abdulkarim Abdulrazak: Sorry, can I jump in for a second there on the AI front?
Corrie Hassan: Yes, of course.
Abdulkarim Abdulrazak: So just to reiterate once again because I found -- I myself as a shareholder was not as aware of this as I probably should have been or thought I was. So with AI and Spenda, I mean, our system already incorporates AI and a lot of the features actually work off the back of AI with the invoicing components and a lot of that, which is already available to be used and is being used now. So whilst we're looking to evolve and continue to stay up to date with the world and artificial intelligence, we do already have that. So we're not -- I wouldn't say we're behind or anything like that. So don't misunderstand and think that this is something we want to do later, and we're just going to be behind the world. We're aware, and yes, that's not the case.
Corrie Hassan: No, we're evolving at the same pace as the world, I suppose. There's so much we can do around risk and managing payment and fraud and dispute risk in all of our products. So it will be exciting to see how that does come to life. Thanks, Karim.
Unknown Executive: Thanks, Corrie. Okay. So it's now time for questions. As mentioned before, we had a great number of pre-submitted questions. So we're going to go through those questions first. And then if we have time, get to some of the questions that have come in via the chat function. So the first question was with $1.5 million cash at quarter end, $360,000 monthly burn and $2.5 million R&D refund expected in Q3, how should investors think about cash runway over the next 12 months?
Corrie Hassan: I mean our focus is to get cash flow positive as soon as possible. That is my laser focus. So I'm just going to continue to take costs down, manage them really tightly and scale revenue as quickly as possible, and we're really confident in the plan. So...
Unknown Executive: Okay. Next question. As higher-margin payments and lending products scale, how should investors think about margin expansion over the next few quarters?
Corrie Hassan: So my main focus around revenue is to have a really healthy mix of SaaS, lending and payments together because those 3 really are the magic combination into having a really good GP and obviously increased profitability. So I think that will change and be very healthy as we scale all of our products as planned.
Unknown Executive: SWIFT statement has around 135 paying customers. What are the main blockers to faster uptake inside Capricorn?
Corrie Hassan: I don't think there'll be any main blockers once we roll out Spenda Pay. We have ramped up slower than expected. But when we did our sort of market research around that, it was the stores didn't really want to pay -- or the members, sorry, didn't want to pay that amount per month just for the reconciliation piece or they felt like Capricorn should have been paying that. So by adding these extra features, they're still paying the same. I think the big thing there is being able to pay Capricorn and getting Capricorn points, which is a real attractive feature to those members. So I think those -- I don't think there'll be any blockers. I think it's really about then how we scale as quickly as possible from there. I have no doubt that, that will start to take shape from March onwards.
Unknown Executive: Great. How much of FY '26 growth is expected from existing customers' increasing usage versus new customer wins?
Corrie Hassan: Both, I'd say. So we will continue to work closely with all our Cornerstone customers and grow with them. But our strategy ultimately is to have a really healthy spread of customers across all products. That's a healthy business in, I guess, any vertical, making sure you're not over reliant on any customer and that you have a really good spread of customers as well as a good spread of income mix. So yes, I think we'll be doing both.
Unknown Executive: One investor has asked, I'm very confused by your recent quarterly. You have stated that you've simplified your products. How are they more simple? Have you just put them into different buckets and restricted the number of customers to one per bucket?
Corrie Hassan: No. I don't think that's what's happened. Retail, we have simplified the offering. We've just really made that current feature set more robust and scalable and taken it straight to market. I guess Spenda Pay itself, it's a really -- really, it's a new product, and it's giving us a new customer base in the SME space, same with lending as well. So there's a large number of SMEs in Australia, and that product enables us to engage with that market and scale with that market as well as our larger customers. And then I guess, Spenda Ledger, we've just refocused on growing those marketplace customers there. We already have customers -- if I try to remember, the marketplace customers, we've got like travel businesses. We've got party stores. We've got retail cloth stores. We've got a large variety of different cohorts in there already. So we can -- yes, so there's a big scale up for each product with different cohorts and customers.
Unknown Executive: APG Pay processed about $50 million in Q2 and a master services agreement is expected. How does revenue scale as volume grows?
Corrie Hassan: So with APG Pay, we get a cut of the travel. And to be honest, they've got a really gun sales team. I've got no doubt that they're going to scale really quickly. So we'll just get, I guess, a higher percentage -- not a higher percentage, but a higher dollar value of income as they grow. So we'll grow with them. The lending, they are our lender. So again, we'll be getting a clip of the lending as we scale that lending out together. So we're working together as a partnership to get that product right to take it to market. And then thirdly, we'll continue to build out their road map as well, build in extra features. So there'll be some reoccurring income monthly as well.
Unknown Executive: What milestones should investors watch to judge the success of the APG partnership?
Corrie Hassan: Just growth, growth in the travel space, growth in the lending product. So we just -- as those 2 products grow, then our revenue grows with it. I think there's a lot of opportunity here, and I expect to see quite a lot of growth. The partnership that we have with APG is really unique, and we work really well together as 2 separate businesses as a team. So yes, I am foreseeing quite a bit of success there.
Unknown Executive: So beyond APG and Capricorn, what verticals look most attractive for Spenda ledger?
Corrie Hassan: Spenda Ledger has a number of verticals already in there. So it really does work in any vertical where there's a marketplace. Karim, maybe you could give a couple of examples of different industries you're working with for Spenda Ledger.
Abdulkarim Abdulrazak: Yes. Yes, I'll jump in here as well because there is some work that's been happening over the last few weeks as well with Spenda Ledger and that has its own sort of verticals separate to Spenda Retail and what you think with Carpet Court, for example. So with Spenda Ledger, for example, I'm just going to give a couple of examples. Don't take me on this and remember it next quarter, but an example of a vertical we're looking into, and this is where the new Director, James Matthews, is going to be helping as well from his background in sports. So sports is an opportunity for us, which no one has really looked at before here. It's not really the type of industry that's always up-to-date with the times either. So James and I both have some sports backgrounds, but James was an executive in national sporting bodies. So hopefully, once he starts to communicate more with shareholders, you'll start to hear a lot of this. But ticketing, for example, right now, a lot of them would use the likes of Stripe. And I'm going to jump into this a little bit, Corrie, if you don't mind, just with Stripe because I see a couple of questions similar to this. So of course, we can't exactly just take over and dominate a business like that. So what we do is we be smart and focus on the areas where we have what you could call low-hanging fruit, meaning businesses that we don't have to put a huge amount of effort into to get on board. Now we are -- obviously, there's some stuff that I probably don't want to go into too much because we're a public business, and we still have competitors that we don't want to just [indiscernible] out everything that we want to do. But for shareholders to know, we have a few things that give us an edge on Stripe Connect, which, again, I haven't been here for years. So I'm not here just saying that just to make everyone happy. I only jumped on board 8 weeks ago, and I was angrier than all of you put together. So I'm telling you that there is a few things that we have an edge on. So without just kind of talking too much about it, there's an opportunity, ticketing, sport and any marketplace business similar to what Corrie has mentioned would be a suitable business for Spenda Ledger. And again, this is separate to Spenda Pay, separate to Spenda Retail. So it's almost like its own little business where you could just have a business, which is basically just a ledger product and you could do well. So the 3 products are actually plenty. It's not as little as you'd imagine. We had 13. Now we have 3. Geez, is that enough or whatever. It's actually quite a robust suite of products, and they do complement each other. And yes -- so the verticals in sport is something that we're looking into right now. Just to give you an example of the kind of the work that we're doing, education businesses is another one. So we talk to businesses similar to education businesses, for example, that sell courses online to universities or governments, et cetera, or training academies. So those types of businesses where you've got to go on their website and you pay for a course on their website, they'd have to have some sort of payment gateway there, which obviously they don't own and wouldn't have built themselves. It'd be either Stripe or similar or Spenda, Spenda Ledger, which we're hoping is going to be the case moving forward in Australia and New Zealand a lot. So yes, there are some verticals that we're looking into. And just remember, no one was doing this before. We had no sales team. So the proof will be once we actually accomplish it, and we're working on it now. Once a salesperson comes on board, we'd expect them to be sitting in front of these places. But in time, we'd like to continue to share more about progress with sales and verticals. And we'd love for shareholders to contribute and give us ideas. We're happy with all of that. But there is a pipeline, and we're not just kind of guessing and throwing the dart wherever. We're trying to be a bit more targeted. So we don't want things to take very, very long. We're mindful that we need to execute and the patience levels of most people has kind of run out for Spenda, and we're mindful of that. So we're trying to execute as fast as we can with, again, that word, low-hanging fruits, that phrase. So anyway, sorry, Rich, continue.
Unknown Executive: Thanks, Karim. Okay. So you achieved about $3.85 million annualized cost savings. Are these structural savings?
Corrie Hassan: Yes. Yes. So these are obviously staff reduction, rent. So both the Sydney and Perth office. For example, we were stuck in a 5-year lease with Perth. It took us a little time to negotiate out of that. So we'll be moving offices there next month. And then we're going to have a break from office space for a few months on either side, and then we will look at something smaller and more economical moving forward after that. Subscriptions, audit costs, platform costs, so Azure and Google, we're trying to look at have ways of reducing those costs because they are always big costs for a business like ours. And yes, we're [indiscernible] with a couple of partners. So yes, there's a lot of initiatives underway.
Abdulkarim Abdulrazak: The R&D as well was a pretty big cost saving as well, our R&D agent.
Corrie Hassan: Yes. Yes. So -- and actually, Karim has been pretty helpful there as he's got some really good contacts in some of those spaces. So it was really easy to then do a supply comparison quickly in terms of like-for-like costing. So yes, very quickly, we were able to focus on those areas and address some costs there. So yes, absolutely, they are very much so structural savings.
Unknown Executive: Okay. So should investors expect reinvestment as sales and marketing activity increases?
Corrie Hassan: So yes, the sales and margin structure has already been considered in the budget. But yes, of course, we're going to be focusing really heavily there. So that will be a key area of investment. I'd say probably not additional investment, more repurposed investment from ongoing cost savings. There's not going to be a massive outlay in that area.
Unknown Executive: How do you balance product speed while keeping operating costs tight?
Corrie Hassan: Honestly, we're finding we're actually moving faster than we ever have done as a business. So I guess just getting that right structure, the right level of communication, clear accountability for each person in the business, the right meetings to be had, making sure everyone is sort of communicating well. All of those things have come together quite quickly. And yes, everyone is moving in the right direction. So that hasn't been a challenge. In fact, it's been easier, I'd say.
Unknown Executive: Now that you are permanent CEO after the stabilization phase, what 2 strategic decisions matter most for shareholder value over the next 18 months?
Corrie Hassan: So managing capital debt and dilution, obviously, those are the real key focuses, and we need to balance those well with growing the business. So as a team, we're obviously managing all of those things together to try to get the best outcome for all shareholders.
Unknown Executive: This may have been addressed at the start, but why did Mr. De Souza resign?
Corrie Hassan: Really just a shift in direction. Yes. And like I said at the beginning, making sure we've got the right people in the right areas of sales and marketing expertise to take us forward into the next era. So Francis obviously recognized that, that wasn't his area of expertise so resigned to support that.
Unknown Executive: And do you have any plans to add -- I think this question has largely been answered. I'll ask it anyway. So do you have any plans to add sales personnel that can grow the business?
Corrie Hassan: Yes. So we're just currently looking for one salesperson. We haven't got a firm plan to take on a whole team or anything like that at this point in time. So we'll get one salesperson working alongside Karim for some time and see how that works and what we need to do from there. But we definitely need a focused salesperson alongside Karim for now.
Unknown Executive: Instead of just focusing on franchises, what about younger influencer, social media side potential being made aware of a Spenda and what it can offer to them? Or are we just locked into a slow risk-averse small business model? Is Spenda too far under the radar?
Corrie Hassan: Okay. Well, we are definitely not just focusing on those customers. We're spraying the net far and wide with our marketing plan and with our product suite. But I think with the addition of James, he's a real innovator in marketing. So he's definitely going to bring an edge to what we're going to be doing in the future. Whether that looks like, I don't know, social media influencers, possibly. But yes, putting together that plan and what that looks like with James is going to be the key to getting that working really well.
Unknown Executive: Is Spenda still working with eBev and Lessn?
Corrie Hassan: Yes. So Lessn is a Spenda Ledger customer still. So yes, we work -- still working with Lessn. eBev is a lending customer. So they were primarily just -- we're not doing anything else with eBev at the moment. It doesn't really fit with our new strategy, but they are still a customer of Spenda.
Unknown Executive: Okay. So just moving on to some of the live questions that we got through. So what large projects did you do previously that didn't fit the business?
Corrie Hassan: That didn't what sorry?
Unknown Executive: That didn't fit the business. So was there any projects that you did previously that were done under previous management that weren't a fit for the products that you were developing?
Corrie Hassan: Well, there were some large projects with Capricorn for previously and with a couple of other customers. They don't fit with the road map that we have now for our product suite that we have now. So -- and some of them were really big projects, which are good projects, bringing in a good amount of income. But when that happens, you do -- I guess, don't focus on your road map as a business. You kind of lose focus and just jump into a project. And some of them are quite big, so pretty much a big chunk of the business we're working on them. So rather than sort of label what all of those were, there were quite a few that maybe worked well for the business at the time, but didn't leave the product where it needed to be to stabilize the business in itself.
Unknown Executive: Yes. So you've reduced staff from 90 to 50 and products from 13 to 3. Has there been any risks that have come with this reset?
Corrie Hassan: Risk, I guess, not risk that wasn't there before. I think it just strengthens our position. The risk was being able to, suppose, maintain that recurring revenue or that revenue for the December quarter because really, there was so much change to manage that there was a risk that we wouldn't be able to deliver on those numbers. But that came good. So that was pleasing. I guess reducing staff numbers and obviously, you're dealing with a number of staff and morale -- managing that change and bringing people along on the journey, you worry that you may lose a few key staff members along the way, which we did a couple here and there, unfortunately. But I think we've navigated that risk well, and I think we're in a good position.
Unknown Executive: So the December revenue and payment flow targets were beaten. What product drove most of this?
Corrie Hassan: It's across product. There is a chunk in Spenda Ledger. So there's the marketing -- the marketplace revenue. And obviously, we're already working with Carpet Court across a couple of other products as well. So it's a combination of those.
Unknown Executive: Okay. Ledger targets marketplaces, fintechs and large corporates, which segment is a priority?
Corrie Hassan: Marketplaces now and then because there are some changes that we need to make to really take it to the fintech level. Not much, but we need to build that -- well, that -- sorry, that is already built into the road map. So marketplaces and then expand further into the fintech sector.
Unknown Executive: And how important is white labeling in winning these deals?
Abdulkarim Abdulrazak: Corrie, I can jump in here, if you like.
Corrie Hassan: Yes. No, you go here.
Abdulkarim Abdulrazak: Yes. So just on the white labeling, so it's not the white labeling on its own that becomes the enticing factor to win over a customer in Spenda Ledger. It's the combination of, as an example, being cheaper, offering surcharge capabilities or profit share capabilities and being able to compromise on the deal that we provide that customer rather than being a straight up, this is the deal sort of thing, and that's it. In addition to that, Australian Support Services, which you don't actually get with a lot of the others and white labeling combined with that, keeping in mind that we're fully white label. So it's not just a white label, but you still kind of have our branding on there. So businesses who care about that would obviously -- they would choose us for that. But it's part of a bit of a pack of enticing factors for people to jump on to Spenda Ledger. But our service is another aspect as well. And it's probably a conversation for another time, but people that have worked with competitors of ours in the Spenda Ledger place area will know that you're not treated like -- yes, you're not treated like their favorite customer because they're so big, but we have the opportunity to provide that sort of service. So we actually have a bit of a package of things to entice people to jump on board even if they are using another system.
Unknown Executive: Okay. The next question is, are the APG fees lending income or payment income? And is there a minimum fee?
Corrie Hassan: Minimum fee. So there's a percentage of travel income agreed contractually. There's not a minimum fee, but yes, it's a percentage of all transactions go. And I don't actually think there needs to be a minimum fee because I know they're going to grow from here. So I think we're pretty safe there. And the lending -- we're just finalizing what that -- actually, I forget we're ASX sometimes, sorry. There will be a cliff of the lending income, but we need to agree what that is.
Unknown Executive: Yes. A few months ago, SWIFT statement was promoted regularly in Spark's magazine often in prominent placement. With revamp into Spenda Pay, do you plan to use Spark again as a key channel for Capricorn members? Or will the promotions shift to different acquisition channels and tactics?
Corrie Hassan: We probably will, yes. And we will look at different acquisition channels as well. We'll do both simultaneously. So we need to grow the Capricorn membership usage, the lending component for SMEs and then general SMEs as well. There's 3 buckets. So the marketing activity will spread across those 3 buckets as to how best to reach those cohorts.
Unknown Executive: And how is Capricorn supporting the rollout and development of Spenda Pay, both from product input and member adoption?
Corrie Hassan: So we have a regular meeting with Capricorn around that. So they're supporting -- we're a preferred supplier for that product. So they'll be involved in helping to promote that moving forward, same as before.
Unknown Executive: And we've just got time for a couple more questions before we end the session. So I appreciate everyone's time. Are you competing with the likes of pay.com?
Abdulkarim Abdulrazak: I'll just jump in here, Corrie. So guys, pay.com.au is something that I've been looking at for a while. And even prior to joining the Board, I was wondering why we weren't competing with them actively because Spenda Pay and the capability that we will have next month, and we kind of already mostly have is, yes, a competitor of pay.com.au. But when you look at the scale and what they've been able to do with just a fraction of what we offer, again, it just presents an opportunity. So yes, that's correct. We are sort of competing with them, but not Spenda because it's one part of Spenda that competes with them. But we are looking to compete, yes.
Unknown Executive: Can you give us an idea of what your ideal customer looks like in each of the 3 products?
Corrie Hassan: So retail...
Abdulkarim Abdulrazak: No, no, you go. We'll do this. We'll talk together. I'm sure.
Corrie Hassan: Retail.
Abdulkarim Abdulrazak: So for Spenda Retail, there's -- so anything that operates very similar to Carpet Court would be -- if I'm going to mention a name, for example, like, let's say, a Beaumont Tiles, very similar sort of method of operating from A to Z, getting a quote involves measuring, someone coming out on site, picking colors, picking designs. Our Spenda Retail product, the web version as well as the app that comes with it for contractors to view when they go and install, all of those sorts of things apply basically out of the box to, for example, Beaumont Tiles. Now at the same time, there are lots of other businesses, anything that's similar where you've got a phone call lead comes in and you've got to provide a quote with someone going out to measure and then the whole process down to reconciliation with 0 and installation, all of that happens through our system. And again, there's not -- for someone to achieve something like what we've got for Spenda Retail, so Carpet Court, for example, but a business like that would have to go and spend millions on their own to build their own system, which they would have to maintain forever. And I've been involved in businesses like that, and you've got hire an IT person or 2 full time to manage that for you and debug and add customization. So it does make sense for a business to just use us. There is a pretty easy pitch there. Again, we just need to do it. So an example for Spenda Retail would be that. Corrie, feel free to jump in whenever you like. I'll probably just do Spenda Ledger before you touch on Spenda Pay. So Spenda Ledger would be a marketplace, for example, like Airtasker or Carsales, these sorts of companies where online, you can make payments, they take payments, et cetera. We could be that product that they have in the back end facilitating those payments. So any marketplace business like that would work perfect or even, for example, I'm not sure if many of you guys have heard of certain food suppliers like -- the food suppliers where different cafes might jump on a website and have an account where they purchase from various different food suppliers and businesses, your bakeries, your coffee beans, your meats, all on one website where you go on and you purchase. That is a marketplace, and there's lots of payments going back and forth within that marketplace, and they're going to different cohorts. But that -- you could say the oracle, that middle -- that marketplace, our customer would be that one, say, that website, that place, that business that, say, the Carsales that we provide our technology to. And then we get the benefit of all those transactions that take place.
Corrie Hassan: And yes, Spenda Pay, really, that's any vertical. So it's an SME-focused app for any customer in that space. So it would be anybody who's got suppliers to pay in Australia. So there will be a plan to take that overseas at some point in terms of making those payments overseas. We're looking at that now as part of our strategy moving forward. But we do have some capability for Hong Kong and Singapore at the moment around the payments space, but we'll be looking to expand that as part of our plan. But not right now because we've got quite a lot here that we need to commercialize on before we start to scale further from there.
Unknown Executive: Okay. We've now run over time, so I appreciate everyone hanging on. And I know we'll be looking to do more of these and more engagement to both the market and shareholders going forward. But any closing comments, Corrie and Karim?
Corrie Hassan: No, just that you'll see a lot more from us in terms of communication. Certainly, with James on board, he will help to sort of craft that communication with our investors and with our customers. So yes, trying to just make sure we keep in touch and keep you updated a bit better. That's certainly something that we're focused on doing. So thank you for your support, and thank you for joining today.